Telefonaktiebolaget LM Ericsson (ERIC): 
Executives: Henry Sténson – SVP, Group Function Communications Carl-Henric Svanberg – President and CEO Hans Vestberg – First EVP, CFO and Head of Group Function Finance
Analysts: David Halldén – HQ Bank Jan Ihrfelt – Swedbank Per Lindtorp – Erik Penser Fondkommission Martin Nilsson – Handelsbanken Mats Nyström – SEB Enskilda
Henry Sténson: Good morning, everyone. Welcome to the presentation of the Ericsson Quarterly Report for the First Quarter 2009. My name is Henry Sténson, I will be your moderator today, and this event will be as follows. First, a presentation by Carl-Henric Svanberg, our President and CEO, and added to that some slides also from our CFO, Hans Vestberg, and then regular, ordinary Q&A. So by having said that, I will also like to welcome those of you who are listening in to the webcast. We will try to make sure that you can both hear questions and answers, and can follow the press conference as it goes on. Thank you very much. And please, Carl-Henric, the floor is yours.
Carl-Henric Svanberg: Thank you. And let me first just say that I'm grateful that you are here because this is (inaudible) Sweden. It is not so kind to invite you on a day like this, but this was related (inaudible) but this is related to the fact that the STMicroelectronics and the closing of their books and the joint venture, so we will not do this again. And if we then start with the Ericsson, an Ericsson update in short, this was a good start of the year for us. We had well, you saw 12% growth, even 16 in comparable units, but if we do exclude currency effects, we estimate growth to be around 5%. And that is I think clear for most of you that follow competition here that we continue to gain market share. We had a positive development in all the business units. Hans Vestberg will come back and talk more about the different business units but they all showed positive development here. We had several strategic wins in the quarter. They are well known to you so I don't need to dwell too much about it. But the fact that we took a 30% [ph] part of the China Unicom's 3G rollout is exciting because that means that we are now the leading infrastructure supplier in China. We also took half of the Verizon's 4G rollout which won't be much of revenues this year, more next year, but even that also positions us now with Verizon in parallel to AT&T, we're also the biggest infrastructure supplier in North America. We have also had several managed services wins and I just wanted to mention the UK one here. Our cost reduction programs are running according to plan. We're taking additional 0.7 billion in charges in this quarter. We have cash outlays of 1.2 billion. We will be very precise in guiding you as we go through the quarters what we have done in each quarter here. We can also see positive effects on both the margins and costs. Obviously, the joint ventures are struggling with the dramatic fall in demand in the handset market. You know about Sony Ericsson's result, 35% down, and they are doing a lot to adjust for that, and the same thing is for ST Ericsson. I'll come back and talk a bit more about it. If we then look at the market, the market in general, we said in Q4 that we were expecting, that we haven't seen much of effects on our industry, but we found it was unrealistic that we wouldn't be affected over time by the crisis in some way. So far, the effects are limited, but we see some. We can see that some operators are delaying longer term investments in fixed and fixed operators are affected on the revenues on the fixed site, and especially fiber rollouts and so on. We can also see that operators in a few markets like Russia, Ukraine and some other markets where the currency have dropped very dramatically with over 50%, 60%, 70%, 80%, where they are forced to postpone investments, despite that the traffic in the networks continue to develop in the same way. And I think we should also just continue to be cautious in this time of the worst crisis for the world in mankind that it is hard to precisely predict how operators will act from quarter to quarter. We can meanwhile see a very strong demand for mobile broadband, that have us across the world, also with new technologies and of course for China, in the US, also in India coming up. The China Unicom rollout is the fastest and the biggest 3G rollout that have ever happened in the world and it is of course a great privilege to be part of that. It is also clear that this is high on political agendas throughout the world. We have for example new reports from the U.S. Congress where they – that suggests that there is a ten fold payback for a society for investments in broadband. And therefore I think it is logical that rollout of broadband in the US as part of the stimulus package, 7 billion of Obama's stimulus package is for broadband rollout. It is the same thing in China, it is also supported by the stimulus package, the Unicom or the 3G rollouts. We can also see that this is times when we get more focused on managed services because operators are even more focused now on cost, and therefore we have – we have actually a tripling off our sales, final order, the leads for managed services, and it has also to go through traditional thinking of whether this should be outsourced or not. A lot also focus on this systems integration and network transformation, the fact that we are all transforming into an IP world and that means rebuilding networks, redesigning networks, putting fixed and mobile together. So in general, I would say the long-term fundamentals remain here for our industry and telecom's role in society is growing and that is recognized, it is on the political agenda. If we just look at the numbers as such, I'm sure you have already studied them, 49.6 billion in sales, which is up as I said the 16% or 5% in organic growth. We see margin trends positive, we see effects from the ongoing cost reductions and we should. If we look at the operating income, this is before the joint ventures, before the restructuring, the operating income for Ericsson, 4.7 billion is 40% up. This is an operating income that had very limited effect so far from currency. We do, as you know, secure our currencies, we hedge our currencies between 6 to 12 months, depending on the lifespan of projects. So say on average nine months which means that if you go back to summer last year or spring last year, you can see the currency then where they were and you can imagine that the effects are so far limited. Cash flow was minus 1.7. Here was a contribution to our pension trust of 1.5 billion, which means we take money from our own cash into our own pension fund. That had an effect. Hans will come back and talk more about it, it is a little bit affected by a tougher credit market, there are also seasonal effects here. If you look at the joint ventures, the slowdown in the handset market is obvious. You saw Sony Ericsson's decline there of 35%,basically in line with the market leader, a lot of activities is ongoing to restore profitability and we work very hard together with Sony and Sony Ericsson to support them going through that. It is pretty dramatic what they do, 880 million in OpEx savings and they have similar tough targets on cost of sales. The important thing is of course once the cost are adjusted for the new reality, for the new market, and we're not speculating on whether the market will turn up or not in doing those cost reductions. The important thing is of course new products, and as we can – as we at least can judge, this is an exciting product family, it is always hard to predict precisely how successful new products will be. When it comes to ST Ericsson, we have a similar situation there. Here is a company that has just been in operation for a few months and the platform is established, the base is established for challenging Qualcomm world leadership here. We have leading technologies on 2G, 3G, TD-SCDMA, and even LT, and that is positive. We have a strong foundation of business both to Nokia, to Samsung, to LG, to Sharp, to Sony Ericsson. So that is positive. But of course they get the same sales reductions as the handset market has. So also here there are cost reductions of 480 million on its way and these are down both to right size the company but also to leverage on synergies, not only between EMP and ST if you like but ST in turn was a merger between NXP and ST. So lots of activities going on there as well. If we then take a couple of columns from the world here, Western Europeans sales were down 4% but this was the region where we had the biggest effects of the divestiture or the – the ST Ericsson merger and the sales of enterprise business, which means that those are no longer part of the comparable units. So for comparable units, the region is up 5%, still of course currency effects here. We have posted developments in some parts, UK, Germany, Italy, tougher in Spain. And I think this follows largely also the development in Europe as a whole. Also here, good demand for managed services. We had our key wins is UK that I already mentioned. If you look at the CEMEA region, here is a region with a bit of diversity between d different – difference between different countries. We have strong performance in parts. Turkey for example, Sub Sahara, of course this is a region that always has different development but more so in this time. 2G and 3G and Sub-Sahara Turkey, but we have other markets like Russia, for example, and Ukraine where we have sharp drops in currencies and therefore slowdown in investments. This is also the area where we have our Millennium villages in Africa, where we are studying the effects even in the poorest areas and they're pretty exciting. We have spoken about them before, so I will not spend much time there now. Asia-Pacific is a strong region for us, a large broadband rollout in China and in Japan, mobile broadband. It is actually on top of what I said, we are not only the largest infrastructure provider in China and India, but also in Japan. So in the world's three largest economies, we are the largest infrastructure provider on the mobile network side. We have also major build outs in India and India is also on its way with 3G. We have already started the build out of 3G for BSNL, that is a little bit ahead of general license awards. Indonesia, Vietnam are presently strong countries, and meanwhile we have slowing investments in, for example, Bangladesh and Pakistan. We have taken – we have already invoiced some parts of the Unicom rollout. If you look at Latin America, up 5% year-over-year, has been – the growth pattern has been going up and down a little bit. This is a region that generally has good business activity but there are also areas here where we have seen some slower countries. The whole region is about 2G expansion, it is about mobile broadband, 3G mobile broadband, HSPA is being introduced in every single market in Latin America. This is also a region where we see growing demand for managed services, basically across the region. There are many both contracts awards and discussions. If you look at North America, it is 21% up. Obviously currency effects here, but underlying growth is good here. A lot of focus public focus on mobile broadband as I said set and broadband in general from the consumer. Everybody wants broadband, everybody wants it wireless, and that is a major breakthrough I would say from these kinds of networks versus the earlier Wi-Fi solutions. And I already talked about Verizon, but Verizon is very strategic for us. It is the largest customer in US, we haven't been there before, so they are a new customer. So with that said I will hand over to Hans to guide us through the numbers more.
Hans Vestberg: Thank you. Good morning. We will go through the financials figures a little bit more in detail them, starting with the same, I think I always say, I will comment on the figures excluding restructuring charges, if I don't state otherwise. So we're clear on that. Carl-Henric talked about our sales, 49.6 billion Swedish kroners, and just to be clear, when we make it compatible units, we take out, transfer the EMP business and our divested PABX business that we divested last year. And then we have 16% growth and then we take away the currency impact that is why we had weakening Swedish kroners year-over-year between them and then we get the 5% growth of comparable units. The gross margin has sequentially improved up to 36.3% compared to 35.2%. There are several different impacts here, we have business mix, we have also the cost adjustments coming through. We have also small impact on the currencies, but mainly it's also that we have quite high or meaningful volumes as Carl Henric mentioned, for 3G rollouts, that we have talked about before in China. Secondly, I will talk about the OpEx. The OpEx despite the currency I would say is coming down. We have the same impact on OpEx as we have on the top line of course especially on our SG&A which is distributed around the world and that is coming up but that is due to currency. We're still seeing encouraging effects of the cost adjustments from last year. Adding up that we come to an operating income before joint ventures of 4.7 or 9.5% operating margin. That includes then also (inaudible) on that 0.5 billion of loss of EMP in January, that is including that number, and of course that was before we formed the JV. Continuing on the P&L, we have the share of earnings and this is of course the biggest swing factor in the quarter year-over-year, the loss of 2.2 billion Swedish kroners from our two JVs. The main part is coming from the Sony Ericsson compared to a profit of 900 million last year. That leads us to an income of the financial item of 3.3 compared to 4.5. There we have a financial net that is 800 million positive compared to last year 200, strong financial net driven by the interest rates coming down, but also the revaluation on our financial investments. So we have a strong financial net in the quarter. Then we have the net income, that includes the restructuring charges of 1.8, that is the net income of the group. Restructuring charges in the quarter was 700 million, fairly equal to last year start of 800. Cash flow I will start with discussing on the next slide. The cash flow from operations was 2.9 billion Swedish kroners negative, then now for useful reasons that we can compare it, we will exclude and have one adjusted cash flow where we exclude the cash outlays for restructuring, because we will have now cash outlays from the restructuring that took last year and the one we will have this year. So we will work with adjusted cash flow and the cash flow as normally we have done. That in this quarter is 1.2 billion, so a 1.2 billion in cash out from restructuring charges last year. I will have that on next slide a little bit more in-depth. So that we exclude when we come to minus 1.7. So what are the big swings in the 1.7 is as Carl Henric mentioned we have done the capitalization, our pension trust, the 1.5 in the quarter. Then you can see from the balance sheet that there our other current liabilities has come down, that is more from the seasonality, VAT, trade payables are coming down from a high volume in Q4. The other thing that is important of course that our DSO has come up to 124 days. That is several reasons. We had strong I would say end of the quarter meaning that we had a lot of receivables coming in that was not even collectible. Secondly I would think that everybody is optimizing the cash flow. As we have done, our payable days, trade payable days has come up. Operators are looking into the payments as well and optimizing over the quarters. So there is some effect of that. And secondly also the credit market is a little bit tougher and normally we do some sell off without recourse to Ericsson on some receivables. That's tougher in these credit markets. We still are very committed to have the ambition on the cash conversion of over 70% for this year. So we will continue to work with that and measuring one quarter is probably not the right measurement here, but of course, we're working heavily on this one. The big swing in the gross cash which is this is showing is of course the investment in ST Ericsson. And that is in this waterfall short, the orange pot, 10 million, main portion of that is the investment in ST Ericsson. And that is the impact on both the gross cash and the net cash of some 11 billion and 10 billion. If we then talk about cost reduction programs and here we will start to report a little bit different so you can follow it a little bit better. Last year we had the cost program that had savings of 6.5 and restructuring charges of 6.7. That, all those activities are done. Still we have cash out for that because things will happen during the year even though the activity and a charge was taken last year. In the provisions, we still have 3.3 billion left, that will cashed out during this year from that program. So that is important to understand. 1.2 was done in this quarter. When we talk about this program for 2009, we announced a 10 billion program that will be impacting the second half of 2010, where we have 50-50 between cost of sales and OpEx. That we have started and have a restructuring charge of 0.7 in this quarter. In the bottom you see a table where we have outlined all the restructuring charges we have taken for this program and how much cash outlays we have done on that. They will typically not be exactly the same because some restructuring charges have no cash impacts, but we will follow this, and this will be a table that you can see how much cash outlays we have done for the restructuring charges and how much restructuring charges we have taken. But we can say that we have initiated all the main activities in the program for 10 billion and we have started as last year little bit slower because then is when you start with – when it comes to restructuring charges, it is a little bit slower, and then it will come through the year with acceleration. Talking a little bit quickly on the different segments, networks up 12%, as Carl Henric mentioned several important strategic wins in the quarter. You can also see that our net rollout services, that has been growing heavily in early quarter, is little bit lower right now with 4% growth. Still it is a good start on the year for networks. Operating margin, 10% compared to 9% Q1 last year, has come up. Of course some FX improvements but mainly due to cost adjustments and also the product mix that we're getting here. Then another thing that is important, when we see this traffic growth right now, that impacts our transmission and also all the data and packet network upgrades. That we can see in our figures of better MiniLinks and the SmartEdge product sales in the first quarter. Professional services ended at 12.8 billion Swedish kroners in the quarter, 28% growth excluding the currencies, which is a little bit different due to the mix of distribution that they have. It is a 10% growth in constant currencies. And as Carl Henric mentioned, we still see a good demand for managed services, system integration from the marketplace. We grew managed services 34% year-over-year and as also mentioned earlier, a couple of very important key wins, especially in the UK in the quarter. We are now having 275 million subscribers in the network, which we are running in managed services. Finally the operating margin ended up 15% sequentially or year-over-year improvement continued. We have a good business mix. We have fairly few new startups in managed services in the quarter and the continuously cost efficiencies work that we are doing in professional services of course paying off. Lastly multimedia and here we have the largest sort of changes as both EMP and the PBX operations has gone out. So we have this for comparable units. And for comparable units, we were up 25% in the multimedia segment, which I would say the main drivers for that is the revenue management and our IPX and sort of the multimedia brokering. Those product areas are the ones growing fastest. We have a positive operating margin in the quarter and we have now improvement for quite a while in there, still remembering that this is an area where we have investment areas, and we have areas with good growth and good margin. So we will have some swings in it but it is encouraging to see where we are coming. One thing that is important to mention is of course the cable and satellite operators are postponing the team investment which is impacting portions of the portfolio multimedia. That will be the summary from me and the financials, and I had over to Carl Henric again.
Carl-Henric Svanberg: So in summary I think we have had a decent start of the year. We continue to gain market share. We had several strategic wins, we're doing good in managed – both networks and managed services. There are some but still limited effects from the economic recession and still I think this is not the time to be too precise and predicting but realize that this is a very unusual time. The joint ventures affect us and we're doing dramatic activities, cost cuts to adjust for new realities.
 :
Henry Sténson: Very good. Thank you very much. So you're welcome. We start in the front, David please. Yes, David, start. You're at the right spot, just given him the microphone please. Yes.
David Halldén – HQ Bank: Thank you very much. David Halldén, HQ Bank. One question. I'm glad to see the organic growth in services and the currency impact. In the networks division, you mentioned that obviously there was a currency boost, but of the 12%, how much was currency and how much was organic in that specific division? Is that something you wish to break out?
Hans Vestberg: No. We don't disclose it. We decided that – we do two disclosures on currency effects, one is of the group level and then on professional services as well as we had for a long time. But of course you can draw the conclusion that they're fairly similar between networks and the totality. That is fairly similar. I would say that taking away all the – we still have a small organic growth in the networks business.
David Halldén – HQ Bank: Okay. Thank you.
Henry Sténson: Then we continue over to Jan.
Jan Ihrfelt – Swedbank: Yes. Jan Ihrfelt, Swedbank. Question on services, you grew by 10% on a constant currency base, do you think you could keep that rate going forward, or is the Q4 comparison being too difficult for you?
Carl-Henric Svanberg: I think in general we have seen a growth of this level or more over the last year and services is not an area where we see a decrease in demand. So I don't think we have reasons to expect a deviation from historical patterns here. But again, I mean this is an area that both offers opportunity but also optimizing our cost from the operating side.
Hans Vestberg: And you can of course mention that when you look at historical percentages of growth, that would be harder over time. It was easy when I was running services, it was smaller. So of course in percentage wise, it was much easier. So the percentage is a little bit more difficult, but still of course it is going to be in absolute number continue to grow. That is I believe with the demand in the market, but percentage wise, it is harder and harder over time, I would say.
Jan Ihrfelt – Swedbank: Okay, and just a question on the sequential decrease in networks which was like 27% or something, the historical pattern is like 20%, so a little bit worse than that, and you were helped by the currencies here, so how do you explain this worse than historical average sales, sequential sales decrease in networks?
Hans Vestberg: I think first of all there is not much of currency in between sequentially. It is year-over-year, it is much more. Then, of course, it goes back and forth between different quarters, so I wouldn't draw any conclusion of that. Sequentially it is a little bit lower than historically on networks. I wouldn't draw any conclusions.
Carl-Henric Svanberg: Remember also that we came out early in Q4 with a report because we were unusually high in Q4.
Jan Ihrfelt – Swedbank: Okay, thanks.
Henry Sténson: Okay. Next question over there.
Per Lindtorp – Erik Penser Fondkommission: Per Lindtorp from Erik Penser Bank. Two quick questions, first is in terms of hedging effects and probably hedging losses in Q1, any kind of magnitude on that and what we should expect for Q2 because that probably could be quite a lot of bit of swing there? And secondly in terms of revenue recognition, 3G in China, again expectations, Q1, Q2, because that should probably also be quite significant swing, if you can elaborate on that? Thanks.
Hans Vestberg: In terms of the hedging effects in the first quarter, you can see that in the tables. That is a little bit above 4 million Swedish kroners and of course we have hedging policies, doing hedging 6 to 12, even further out. Of course we are running with currency rates that are quite below the market today. And of course over time, that will be less, but still we have quite a portfolio that we are carrying over in the future here. So that is around the hedging effects. The revenue recognition, as I said, we had meaningful volumes already now in Q1. We take as we are delivering right now, and the deliveries are quite large here. So I wouldn't say there are any specific in between the quarters. We continue – of course, it is going to continue into the full year, but we had already now in Q1 meaningful volumes.
Henry Sténson: Okay. Let's see. We have a first-round and those who already had their questions I will leave you until others has been able to put theirs. Please more questions. Martin?
Martin Nilsson – Handelsbanken: Yes, thank you. Martin Nilsson from Handelsbanken. Two questions. The first is 3G in China, you have a – you certainly talked about products, but as I understand you have now the RBS 6000, is that the one you are shipping to China, and could you talk a bit about the ramp you have seen in that product?
Carl-Henric Svanberg: It is not RBS 6000, that will come later in the project.
Martin Nilsson – Handelsbanken: Okay. But have you started ramping that or perhaps it is something that would come later and that you transition on to that platform will have an impact on margins or anything like that?
Carl-Henric Svanberg: That product will come through this year and that should like new products have a positive impact.
Martin Nilsson – Handelsbanken: Thank you. Secondly, as you might be aware of, your Finnish German peers provided a forecast for a total market here, I guess everybody talks in different currencies and different languages, but they took a crack at it at least. And I understand that sort of it is a bit turmoil and cloudy, but do you think that you will be able to provide a forecast sometime during the year, or is it sort of – I guess with one third of the year past, the uncertainty should be a bit less than when we went into the year?
Carl-Henric Svanberg: Yes. We will not at this point in time speculate on the market. I think it is actually – not only is it uncertain times, but I think also for us, it is a little bit hard to see. It depends on which market you are exposed. We have had a more than fair share of new rollouts. So others may that are not part of new huge projects which are part of the market because very well see it on all positions that the less – that developed less favorably. It may be that we slightly underestimate the market share gains we have, and that we are overestimating the market. But I think the at least for us it seemed a little bit overly negative there.
Martin Nilsson – Handelsbanken: Okay, thanks.
Henry Sténson: More questions? Mats, please.
Mats Nyström – SEB Enskilda: Thank you. Mats Nyström, SEB Enskilda. The margin in the networks of 10% pre charges compared to 14 in Q4 obviously was a big volume difference there in sales but where there other reasons behind the margin deterioration than lower sales?
Carl-Henric Svanberg: Well, you had the – we did comment on the fact that the volumes that goes to China, the initial volumes as in any new rollout, puts the pressure on the margin. That is basically the big reason I would say.
Hans Vestberg: Yes. I think that if that is what is you are looking for. I must state it was year over year an improvement, but of course we had an impact of the volumes of 3G. As we had said before, in a new rollout having a large footprint will be competitive returns. No different from any other market and this is large volumes coming from this contract over time.
Mats Nyström – SEB Enskilda: At the same time, you are referring to improved business mix, is that only relating to sequentially lower network rollout or do you see – are you not seeing more operators for (inaudible) more to capacity expansion rather than coverage?
Hans Vestberg: I think for the business mix standalone you're looking straight down to the quarter we had a little bit less of network rollout. And as we said before, they are rounding with lower gross margin in average than the product side, so that is the business mix for us.
Carl-Henric Svanberg: There is one another one that we have spoken about that goes on over longer period of time, and that is the graduate increase of software. That comes from the fact that of course HSPA is much more software product than 2G was. So as that shift happens, that keeps tilting a bit, and that helps incremental effects, post incremental effects.
Mats Nyström – SEB Enskilda: And finally a question if I may, the hedging effects of 4 million in the P&L, is it fair to assume that the bulk of that or everything perhaps is related to networks?
Hans Vestberg: Yes, I think a large part of it of course will have the impacts in this, but services has less of it because we hedged of course the transactions when it comes to hardware and software. So you're right. There could be pieces in services but the main part is in network, correct.
Mats Nyström – SEB Enskilda: Thank you.
Henry Sténson: Okay, more questions? What don't we start all over again?
David Halldén – HQ Bank: Yes, thank you. David here, once more. Just a follow up, I think it is quite natural for operators in the countries you mentioned where currencies have depreciated significantly that they sort of postpone investments. But are they sticking to investment sort of plans in local currency in terms of amounts or are they sort of pushing that out as well? Do you see what I mean?
Carl-Henric Svanberg: I think that from what we see, this is – we have seen very little yet of any changes in the consumer behavior. The traffic is there which means that the expansion need is there, which means that they in normal circumstances, they would do it. But some of them that may be more higher leveraged in the first place, and with the currency drops the way it does, they simply don't have the money.
David Halldén – HQ Bank: Okay. Thank you very much.
Henry Sténson: More questions?
Carl-Henric Svanberg: But I would just add to that, that is not a rule for all such operators, but those that are highly leveraged in such markets may end up such. But there may be others in that market that has an advantage because they are better geared.
Henry Sténson: Please?
Jan Ihrfelt – Swedbank: Okay. Jan Ihrfelt for Swedbank once more. The effect here of networks running at a little bit lower growth rate than compared to – let's go back to my first question, the sequential decrease in networks, aren't you helped by currencies at all?
Hans Vestberg: I think there are some, of course, but not any major. There are sequentially of course support from the currency but it is not comparable to the year over year.
Jan Ihrfelt – Swedbank: Okay. And the question on this China and India build out, you mentioned here that they were a little bit margin destroyer as I see it, do you think that this will – in what quarter will this last. This is Q2, Q3 and also Q4, or is it just Q2 or the time line there of this large build outs?
Hans Vestberg: I think that 3G in China will continue all year and it will continue into next year. India will be a little bit depending on what is happening to 3G, and there is natural 2G expansion there that is rolling in, but that is going to less sort of rollouts and more upgrades, then we're going to see what happens to 3G, which I'm not speculating, because I don't know when 3G will end up coming in India, but it might come up in this year. That would be a difference on new rollouts.
Henry Sténson: Thanks. Martin, number two? Well, there you go.
Martin Nilsson – Handelsbanken: Martin Nilsson for Handelsbanken again, if we look at your professional services business and focus on the support side, is the support business, customer support mainly priced at local currencies, and have you seen any tendencies of increased price pressure in that business, or is it still sort of same old traditional pricing models?
Hans Vestberg: The general rule of the thumb that we have is that hardware and software is going to either US dollar or euro and that our services is going in local currencies. There might be exceptions, but that is the sort of the rule we have. I think that in customer support as in any service business, the price pressure is always on, and that is why you work all the time with cost efficiency. I wouldn't say we're going up, we are going down, it is always a pressure, and I think that the service team that we have in place is doing an excellent job to bring out cost all the time. We sometimes talk a lot about the big project that we're doing here. I think in services, they have a constant work with cost all the time because that is the way to make the good margins that they're doing.
Henry Sténson: Okay. More questions? I don't want to hold you more than necessary, but if there are no more questions from this point, I thank you very much, and looking forward to see you again on Thursday next week in Boston. Thank you very much.